Operator: Good morning, ladies and gentlemen, and welcome to the BRP's Q3 FY 2021 Earnings Call.  I would now like to turn the meeting over to Mr. Philippe Deschênes. Please go ahead, Mr. Deschênes.
Philippe Deschênes: Thank you, Mone. Good morning, and welcome to BRP's conference call for the third quarter of fiscal year '21. Joining me this morning are José Boisjoli, President and Chief Executive Officer; and Sebastien Martel, Chief Financial Officer. Before we move to the prepared remarks, I would like to remind everyone that certain forward-looking statements will be made during the call that are subject to a number of risks and uncertainties. I invite you to read BRP's MD&A for a listing of these. Also during the call, reference will be made to supporting slides, and you will find the presentation on our website at brp.com under the Investor Relations section. So with that, I'll turn the call over to José.
José Boisjoli: Thank you, Philippe. Good morning, everyone, and thank you for joining us. As you know, fiscal year ‘21 has been a very volatile year for us. Once the temporary shutdown were lifted, we were able to resume production at full capacity, have taken special measure to manage our supply chain and have been especially vigilant about protecting our people. Given the increased popularity of our products, we feel fortunate to be where we are during this time of international instability. It has been an exceptional period and it's not over yet.  I would like to start by thanking the remarkable dedication of our people, dealers and suppliers who have risen to the occasion and allow us to continue to deliver incredible results while still ensuring the health and safety of our team everywhere around the world. As you are aware, interest in the powersport sector remains very high and our strong lineup continue to allow us to outpace the industry worldwide. Although we faced some production challenges, we were able to manage them and we are delivering units in line with our plan.  Let's turn to Slide 4 for the financial highlight of this third quarter. Our revenue for the quarter were up 2% driven by Year-Round Products, partially offset by lower sales of Seasonal Products due to a change in timing of Personal Watercraft production. Our gross profit margin came in much better than expected at 29.1% as the continued strong consumer demand allowed us to reduce our promotional activity and drove a richer product mix than planned. Our normalized EBITDA ended the quarter up 30% to $349 million, resulting in a normalized earnings per share of $2.13 up 41% over last year. We expect this positive trend to continue over the next quarter and beyond. And based on this, we are increasing our year end guidance with revenue now expected to be down 1% to 5% normalized EPS up 31% to 37% to a range of $5 to $5.25. As I mentioned earlier, the demand for our products remained exceptionally strong in the quarter, leading to our North American powersports retail being up 16% year-over-year. When excluding Personal Watercraft for which network inventory was at its all-time low, at the quarter -- at the start of the quarter, our North American powersports retail was up 29% compared to an industry that was up mid-teen percentage. The trend and diversity of our product portfolio also led to solid retail growth of 16% in Latin America and 22% in Asia-Pacific. Only EMEA experience a retail decline in the quarter, with retail down 9% due to inventory shortage.  Looking now at North American retail by product line on Slide 6. Again, this quarter, we have delivered solid growth across the powersport product portfolio. Side-by-side and ATV both outpaced their industry with very strong retail results, up about 30% and low 20% respectively. Three-wheeled vehicle ended the season on a strong note, with retail up about 60%. I remind you that this is on top of a high of 80% growth in the same quarter last year. Snowmobile is up to a good start for the season with Ski-Doo retail already up low 20% and Personal Watercraft was our only product that was down in Q3 as it was for the rest of the industry. As I already mentioned, this was due to the network inventory being at an all-time low, both in North America and in international markets at the beginning of the quarter. We are pleased with the strength of our lineup, which continues to gain share in this very healthy industry backdrop. Now on to Slide 7 and the current trend in our industry. Like others in the powersport business, we are seeing continued consumer interest and we have delivered another quarter of robust powersports retail growth. For Q3, our powersport retail is up 29% when excluding Personal Watercraft, following a strong retail pattern throughout the quarter. For example, the ORV industry had a best month in the quarter in October in term of growth. And we saw this year the best start of the snowmobile season we have observed in five years. This solid growth is coming from both new entrants and returner customer, who have decided to expand or extend their interest in powersport. Based on a survey we conducted recently, we estimate that 34% of buyer were new entrants.  We are feeling optimistic that the strong level of consumer interest is something that can be sustained. In part, this is due to the continued strong consideration for our product shown online, with for example Can-Am off-road vehicle website visit up 59% in October compared to last year. In Personal Watercraft, pre-season customers certificate were already up 12% at the end of October versus the entire full season October to March last year. We also note, our Three-Wheel Vehicle Rider Education Program daily registration is trending at twice last year level since the beginning of November. So the interest does not appear to be slowing down.  With our retail production plan aligned to this current and projected growth, we believe we are well positioned to capitalize on the growing consumer interest in powersport. Turning to Slide 8, I would like to talk about our recent product introduction. In 2020, our traditional launch model for new products evolved to be exclusively virtual. We held two global virtual events in the third quarter, one for Can-Am and one for Sea-Doo. These were both very popular, had over 80% attendance by our dealers around the world and allow us to reach a growing consumer audience at the same time. Future events will include many of these same elements to reach an even broader audience.  Regarding our product introduction, in the side-by-side utility segment we enforced our premium offering by having a very -- our very popular cab with HVAC and the LONE STAR package to our long box lineup with the introduction of the Defender PRO Limited and Defender PRO LONE STAR, considered to be the best in the industry. We also strengthened our mud lineup with the introduction of an improved VISCO LOK 4LOK, the ATV industry’s best four-wheel drive system, which provides equal power to all four wheels at the push of a button, providing an even more agile ride. As for Sea-Doo, our model year ‘21 lineup includes industry leading acceleration and control with a completely redesigned RXP-X 300 which includes the performance inspired Ergolock R System, which holds the rider in the perfect position.  We also took the on-board experience to the next level with the launch of the 7.8 inch wide full color LCD display, the industry’s first app enabled Bluetooth display, providing full control of music, navigation, weather and more. These product introductions were very well received by dealer and the media and booking was very solid.  Now let's turn to Slide 9 for the Year-Round Product highlight. Revenue were up 11% driven by lower sales program and the richer mix. Meanwhile, volume of units sold was slightly lower than last year due to many of the units produced being in transit to replenish our international yard inventory despite increasing our production numbers as mentioned during our Q2 call. These units are expected to be sold over the coming quarters.  On the retail side, four months into the season ‘21, the North American side-by-side industry is up low 20%. Can-Am side by side continue gaining share especially in the utility segment with retail up low 30%. The ATV industry is also four months into the season ‘21 and retail is up high 20% Can-Am is also up high 20% over the same period. The demand for our off-road lineup is very strong. And we believe we could have sold additional units had we been able to supply more of them. We have broken ground on the construction of our new side-by-side manufacturing facility in Mexico, having 50% of side-by-side production capacity. The project is progressing as planned and is expected to be ready for operation by fall 2021. Now looking at the three-wheeled vehicle. The North American three-wheel industry ended the season ‘20 on October 30th with retail up low-teen percent. Our Can-Am three-wheeled vehicle retail was up low 20% over the same period, gaining share in both the three-wheeled vehicle and two-wheeled motorcycle industry. This season was very successful for our three-wheeled vehicle business. Once schools were allowed to reopen, our Rider Education Program continued to attract many potential customers. And we now have over 31,000 course completed with a better-than-anticipated conversion rate to new and used units of over 45%. We also launched the Can-Am Women Mentorship Program. This program is designed to help overcome the barriers that have traditionally held women back for experiencing the pleasure of riding through inclusivity and education. We already have over 6,000 active highly engaged members and the program has been given significant coverage from magazines such as Forbes and Rolling Stone. We are pleased with the traction we have with this program and the positive feedback received from participants as well as its potential going forward. And finally, Ryker had another very good season. Over 50% of Ryker customers are new entrants compared to slightly more than 40% last year. We're also successful in attracting key buyer group with over a third being women, almost three-quarter of rider under the age of 55 and almost half from diverse communities compared to one-third last season. The Ryker has definitely been successful at attracting a younger and more diverse customer base, growing our total addressable market. With these different initiatives, we are paving the way for new entrants to join our sport and to continue to grow the business.  Turning to Seasonal Product on Slide 11. Seasonal Product revenue were down 8%, primarily due to a change in production schedule for Personal Watercraft versus last year. The lower shipment volumes were partially offset by lower sales program.  Now, looking at retail, the North American Personal Watercraft industry ended season '20 on September 30th, with retail up mid-single-digit. Sea-Doo retail was also up mid-single-digit percentage for the season. With the success of the new GTI platform, Sea-Doo took the number one position in the recreational segment and now leads every segment in the industry in North America. Sea-Doo is also off to a good start in the season in counter-seasonal markets which were still up high 20% in Australia/New Zealand, and up mid-30% in Latin America. Given the strong demand for these products, compounded by the production shut down we experienced in Q2, we ended the season with network inventory at an all-time low, down 95% from last year. With these low level of inventory and the strong trend in consumer certificates, we are expecting a strong performance for our Personal Watercraft business next year.  Looking at snowmobile, while still early in the season, the North American industry retail is up mid-teen percent. Ski-Doo retail is up high 20% over the same period, despite a lower level of inventory available in the network. Given that demand for snowmobile does not appear to be diminishing, we have decided to extend our production schedule until mid-January for season '21. This has accounted for in our increased guidance.  Continuing with the look at powersports, parts, accessories and apparel and OEM engines, the same phenomenon we have observed with vehicle likewise holds for parts, accessories and apparel. Revenue were up 15%, driven by a higher volume of PA&A coming from strong unit retail sale and higher replacement parts revenue, as a result of increased usage of product by consumer. The focus we have placed on our LinQ accessories lineup is paying us. Looking at Marine. Revenue were down 25% in the quarter, driven by the wind down of the Evinrude outboard engine line. At a retail level, the positive momentum continue for Manitou and Telwater both delivering mid 30% of retail growth. Alumacraft saw a slight decline in retail due to limited product availability, since during this period, we have been consolidating our operation into St. Peter's, Minnesota facility and closed the Arkadelphia plant. We are pleased with the performance of our boat brand and the progress we are making on our strategy to transform the marine industry. We look forward to sharing with you soon more detail on our latest initiative. With that, I will turn the call over to Sebastien.
Sebastien Martel: Thank you, José, and good morning, everyone. We achieved very strong results for our third quarter, as we delivered on our production plan and benefited from the continued robust demand for products, which led the lower than anticipated sales program and a richer than anticipated product mix. Our revenues reached a record level for our third quarter at $1.7 billion, up 2% over last year's third quarter. Our gross margin ended at 29.1%, representing a 220 basis point increase, driven by favorable impacts from volume, mix, pricing and sales programs, and partly offset by unfavorable foreign exchange rate variations.  Our normalized EBITDA was up 30% to $349 million, driven by improved adjusted gross profit margin and lower operating expenses, as a result the cost saving measures we have implemented earlier this year to mitigate the COVID impact. This resulted in a normalized EPS of $2.13, up 41% from last year. The strong performance also translated in a solid free cash flow generation of $228 million in the quarter, bolstering our financial flexibility, as we ended the quarter with $1.3 billion of cash on the balance sheet. Looking in more details at our revenue by product category and geography on Slide 15. As José mentioned, our revenue growth in the quarter was primarily driven by Year-Round Products and parts, accessories, and apparel and OEM engine product categories. In terms of regional breakdown, our revenues were up 6% in Canada, up 7% in the United States and down 10% in international due to having very low level of yard inventory in many regions. This is why a good portion of our increase in production in the quarter was allocated to rebuilding international yard inventories.  Turning to Slide 16, our quarterly normalized net income was up about $54 million from last year driven by volume, mix, pricing and sales program for favorable impact of $77 million and lower operating expenses for $18 million. These elements were partly offset by higher financing costs and normalized tax expense for $42 million.  Turning to Slide 17 for a look at our network inventory position. Both our North American network inventory and our yard inventory remained at low levels this quarter, with a year-over-year decline of 53% and 39% respectively, driven by the continued exceptional demand for our products.  In terms of network inventory, all of our products are seeing declines versus last year with the exception of three-wheel which inventory is more flat compared to last year as we already started shipping model year '21 units for the upcoming season. Again, we are taking the necessary actions to manage the growth in our business and meet the strong demand for our products. This is why we have decided to extend the snowmobile production schedule by a few weeks and have increased production line speed for ORV and Personal Watercraft.  As we already saw over the last quarter, that as most of the OEMs were competing on a more equal footing in terms of network inventory, we were back to gaining market share. And we are confident that as we rebuild inventory and maintain our fast pace of product introductions, we will continue outpacing our industry.  And now the guidance update on Slide 18. Our third quarter results came in well ahead of our expectations, driven by the continued strong consumer demand for our products, which resulted in lower sales programs and a richer product mix and consequently better than anticipated gross profit margins.  Accounting for these strong Q3 results and the expectation that we will continue benefiting from lower levels of sales program and a richer mix in the fourth quarter, we are now expecting our year-end results to be significantly better than our initial guidance, which we introduced last August.  In terms of revenue other than the elements I just mentioned, our guidance is also impacted by the extension of the snowmobile production schedule, and the continued strength in our PA&A business. Based on these factors, our revenue guidance ranges are now down to 2% up 2% for Year-Round Products, down 2% to 5% for Seasonal Products, up 5% to 7% for PA&A and OEM engines, and down 25% to 30% for Marine which as you remember has impacted by the wind down of the outboard engine business. This results in total company revenue guidance of down 1% to 5%, reviewed upward from down 5% to 9%. Also, based on the same positive elements, our normalized EBITDA expectation has been significantly improved and we now expect it to grow between 20% and 24% for the year, resulting in a normalized EPS that is expected to grow 31% to 37% to a range of $5 to $5.25. Our guidance range remains wider than usual for this time of the year as we still face uncertainties related to the coronavirus.  While we have put in place strong measures to protect our employees, we are not immune to the potential risks that the virus could represent on the economy, our dealers and our suppliers which could lead to reduced demand, lower production or increased costs, hence the wider range. As you can appreciate the guidance does not reflect the impact of more comprehensive confinement measures that could be implemented with a second wave, measures similar to what we saw last spring.  Finally, given the strength of our balance sheet and our positive outlook for the business, the Board of Directors has approved the launch of the normal course issuer bid and the reinstatement of our quarterly dividend starting in the fourth quarter. We believe these initiatives allow us to enhance the return we provide to our shareholders, while preserving the necessary financial flexibility to operate the business in these uncertain times while continuing to invest in our long-term growth.  With this, I will turn the call back to José. 
José Boisjoli: Thank you, Sebastien. As you recall pre-COVID, our growth trajectory at the end of fiscal year ‘20 was very positive, with retail growth in all product line at 15% in an industry that was up mid-single-digit. The surge in demand has offered a major opportunity for us to continue this pace. And we are working hard to maintain it during this period. Although we recognize the pandemic is far from over, we remain positive. Consumer interest is still growing, and we are achieving a good balance between new and existing customers. Our lineups continue to gain attention and therefore gain market share globally due to our ability to introduce industry shaping innovation. Our inventory is at an all-time low. And we have a strong replenishment cycle planned in the upcoming quarters. And with our additional capacity next year, we will be in a good position to support this increased growth.  Given all of this, we feel we are well-positioned to deliver our new guidance for the year and are optimistic for fiscal year ‘22.  I would like to end on a personal note. Without the incredible people we have in each of our offices and plants around the world, we would not have been able to continue to maintain the demanding schedule that the COVID situation combined with higher than ever consumer interest has required from us. So I wish to thank our employee for their resilience and their diligence, to their careful and innovative management of our operation. A successful company is the result of many dedicated heads and ends. And we are fortunate to have the best in the industry.  And on that note, I will turn the call over to the operator for question.
Operator: Thank you. [Operator Instructions]. Our first question is from Robin Farley from UBS. Please go ahead. 
Robin Farley: Great, thank you. I just wanted to ask a little bit about retail. Our checks had shown that after a very big month in July that August and September had still very good growth rates but a little bit slower than July. So I'm curious about the acceleration in October after that in August and September. Was that just October having a lower base of comparison? Or was it an increase in product availability? Just kind of trying to think about how October and then any insight you can give us into November? And then if I could have your thoughts about next year and whether the incredibly strong growth here, obviously you'll have so much restocking that can drive your shipment growth. But is it reasonable to think that, that may be the growth rate just -- so there's some pull forward and maybe the next retail growth won't be till the year after next, just how to kind of think about that longer-term? Thank you.
José Boisjoli: Good morning, Robin. That's a loaded question. Just to go in sequence, the third quarter, the retail was very strong every month, August, September, and October. September being the height, I think. October is always a transition between summer product and winter. But overall, I mean, with 29% growth in an industry that was a mid-single-digit, we're very happy with our retail for Q3.  November is off to a very good start. And if I gave you -- because I know this is an interest for all investors, if I give you some numbers for the first 20 days of October, our retail worldwide is up slightly below 30%. And that's despite -- last year, we had the growth in November of 23% for the whole month, then our growth worldwide is slightly below 30%. And that’s despite EMEA because of the lack of inventory, is up only low-single-digit. That mean North America is slightly above 35%, then very, very good retail in November.  Now looking to next year. And when you think about it -- I'll just say we don't know if there will be a confinement or what will happen in wave two. But when you think about it, snowmobile season last year stopped in mid-March, the riding stopped mid-March, and the dealer gave out their IO in mid-April, in the middle of the confinement, then they were somewhat conservative. Watercraft, we ran out of product by the end of July, because we were shut down -- the factory was shut down for two months. Three-wheeled vehicle, the school were shut down for three months. And retail peaked after but we hope next year it will be better. ORV, we ran out of product, our product was very low in inventory. And we have a new factory for side-by-side that is planned in the fall of 2021.  And in Marine, our factory were closed for six weeks. And on top, at Alumacraft, we had an additional month of closure because of the transfer from Arkadelphia to St. Peter. And I believe all of us learned and when I say all of us is our dealers, our suppliers and us, we are better equipped to operate into this new context of COVID with all the norm for safety of our employee. And that's why we cannot plan for complete shutdown next year. But we feel that if things continue like this, we're well positioned to end the quarter and for next year. 
Operator: Thank you. Following question is from Steve Arthur from RBC Capital Markets. Please go ahead. 
Steve Arthur: Just a couple of quick questions. Just first, a sense on the cost structure looking forward. You made some pretty heavy cuts in the spring, as COVID was settling in. Just wondering how many of those costs you've had to bring back in towards the -- through Q3 I guess or now? And how much of that can have part of the impact you think on gross margins and [outlook]? 
Sebastien Martel: Yes, good morning, Steve. Obviously, we did benefit in Q2 and in Q3 from the cost saving measures that we put in place earlier this year. With how the business is trending, we've decided to invest strategically in some of the initiatives. And so I'm not expecting that trend of cost saving to continue in Q4. I'm expecting expenses to be up year-over-year. And for next year, obviously we'll continue that investment as José alluded to, our expectations for next year are very good. And obviously this comes with well positioned investments. So we'll continue seeing that rate increase but one thing I want to remind is with the shutdown of Evinrude that will bring overhead savings of about $70 million to $80 million on a permanent basis. So that's obviously going to benefit our results. It's benefiting our results this year, but also for next year as well.
Steve Arthur: And about the cost measures, it's interesting to see that R&D wasn't cut. In fact, it looks like it was up about 10% year-over-year in Q3. I guess looking ahead with that investment, is that likely to stay at your normal kind of around 4% level? Or might you invest more in this time to accelerate some market share opportunities?
José Boisjoli: Well, as you know, innovation is key to our business. It’s what's been driving our success in terms of market share gains in the last several years. So that's the last thing we want to cut and we've been pretty open with investors over the last few years that if a recession were to happen, the last thing we want to do is to reduce drastically our R&D investments. And so we've been able to protect that. And you see it in the investments we’re making in the third quarter. And next year, our expectation is that we will continue to run at the historical levels in terms of percentage of revenue.
Operator: Our following question is from Craig Kennison from Baird. Please go ahead.
Craig Kennison : It relates to your inventory in the channel. I think it's possible that the channel has never been more profitable due to the scarcity issue. Just as you catch up to demand, can you preserve some of that scarcity to improve the profitability of dealers on a sustained basis? To me, it feels like that's been an advantage for BRP and that your dealers are particularly profitable. But I'm wondering if you can sustain it in a better way this time around?
José Boisjoli: Good morning, Craig. Then, first for Seasonal Product for Watercraft and snowmobile, and I would include three-wheel in this because we don't produce on a 12-month basis here, it will be difficult, because we're producing almost 8 months -- 7, 8 months per product line. And the retail season is quite short, and it's we’re producing basically to orders that are given to us in advance. And I think we'll probably go back to the pre-COVID situation in those product lines. Now on the Year-Round Product like ATV and side-by-side, this is another story. You're totally right, the low inventory is benefiting the dealer and us and everyone is happy about that. We plan to reduce going forward by 25%. But it will depend how the competition will also be aggressive, because everyone is fighting for market share. Then I think short to mid-term, we'll see the inventory lower than the pre-COVID. Mid to long-term, we could go back to pre-COVID situation when everyone is fighting for market share.
Craig Kennison : And with respect to your new capacity in Mexico, that production comes online in the fall of next year. When would those units actually show up in dealerships in a meaningful way?
José Boisjoli: In the following week. When the production will be running we will be delivering right away. 
Sebastien Martel: So by the end of Q4 next year, you’ll see the impact on our inventory. 
Operator: Following question is from the Martin Landry from Stifel GMP. Please go ahead.
Martin Landry : You seem to have gained market share at retail in a significant way in side-by-side during the quarter. I'm just trying to better understand what was the driver? Was it scarcity of products from -- with your competitors? Or is it really like strong demand of your own products?
José Boisjoli: I think Martin, we’re already gaining share pre-COVID. We had a very, very good momentum with our lineups pre-COVID. And from what we see, we are able to deliver or to run our facility at capacity probably better than some of our competitor. Right now we are delivering on plan. I have to admit managing the supply chain in those days is a bit bumpy. There is some difficulty, but our team is very good to manage and very agile to manage those situation. But I think in Q3 it's was our ability to ramp up production and run the facility at full capacity with minimal interruption. 
Martin Landry: Okay. And turning to Watercraft, your inventories are at a historical low. Can you give us more color as what you're going to do from a production standpoint to catch up to demand? Are you starting production earlier and to by what quantum are you increasing production this year versus last year for Watercraft?
José Boisjoli: Just to give you a sense Martin, we shut down the factory in April, May this year in the peak of the production, because we were setting up the pipeline for the retail season, that is June till the end of September. And we shut down the factory in the peak. After when we started the factory, we restarted the factory producing some model year ‘21 in advance to make sure that we will not create non-current but those disappear very quickly. And if you look at our level of inventory, it's less than 1 unit per dealer, then the dealer are empty, the network is empty and we have a very solid booking for next year. And we restarted production after the shutdown say in July, and we’re running since that time at full capacity. Then we believe that for Watercraft, we will be in good shape for next year production. Next year retail story. 
Martin Landry: Is there any sense of, how much more capacity you're adding versus last year?
José Boisjoli: Yes. Well, just in terms of -- just to give you -- help you out here. In terms of the inventory situation, usually we finish the season with in good years probably 10%, of next year retail 15%. And so that replenishment of inventory would call for a 10% to 15% increase in production just to meet that demand.
Martin Landry: Plus the extra demand we're seeing right now so. 
José Boisjoli: The extra demand, which we're seeing, but again, we have the flexibility to adjust our production schedule, today it's too early to call. But just on the inventory side, I'd say 10% to 15%.
Operator: Thank you. Our following question is from Mark Petrie from CIBC. Please go ahead.
Mark Petrie: Could you just provide a bit more color and maybe a bridge on the factors pushing gross margin higher in the quarter? I know you called out most of the benefits being from full price realization and lesser promotional activity, but just could you quantify that and any other factors, I guess, including mix and specifically the removal of the outboard business? 
Sebastien Martel: Yes, obviously, this quarter we saw the big benefit coming from the programs. And there's a timing effect on programs when these programs are provided for accounting rule. Some of these programs were provided for when we ship the unit. So back in Q1 and Q2. And obviously with the low level of inventory, and the strong demand, these programs were not needed. So these provisions were released. I prefer looking at a full year basis. So the first nine months of the year, so we'll provide you with better comparability as to how the gross margin is performing. So from a full nine months volume and mix and pricing is favorable 90 basis points, sales programs for a full nine months is favorable about 200 basis points. Production with the absorption of added overhead cost because we have to shut down operations for two months is negative 130. The impact of the exit of outboard engine is negative 140 basis points on the gross margin. And then we have what we call COVID costs, restructuring, we have to pay employees as well, so for about 80 basis point as well.  So a good overall impact coming from programs as you see for 200 basis points. And as obviously indicated, we'd like for that to continue on next year, we believe that early part of next year, we'll be able to benefit from that lower reduction of promotional activity.
Mark Petrie: My other question was just with regards to how the replenishment cycle in fiscal '22, how that's going to change the seasonality of your revenue and margins. And I guess you sort of alluded to it that, that is going to be helpful in the first half of next year along with lower sort of promotional programs? But how should we think about that as we think about the typical kind of seasonality of revenue and margins for fiscal '22? 
Sebastien Martel: Something which I've already talked about in the Q2 results was the fact that we are pushing production more towards next year. Personal Watercraft, there's going to be a greater percentage of the current model year units are going to be shipped in Q1. Same thing for three-wheels. So that should bring higher profitability in the early part of next year, compared to what we had in our historical numbers.  Obviously, in the second half of the year, we're going to be opening up the new plant. So there’s going to be a bit more higher cost. But we believe that with the added volume, we'll be able to offset these costs quite rapidly.
Mark Petrie: Okay, thanks. And José, you talked about the supply chain performing pretty well in recent months, and maybe leading to some of your outperformance on a retail level. So is that to say that you really haven't had any material issues with regards to the supply chain? I mean, I know you guys are cautious on that, just in general. But have you had any issues to this point in Q3? 
José Boisjoli: We had situations where we had to re-freight parts or reschedule to accommodate a supplier who had difficulty. But this is our daily life. We do that all the time. And overall, the team has done a very good job to manage it. And that's what we foresee will continue. But it's manageable overall.
Mark Petrie: And sorry, just one last one of clarification. I think you said new entrants were 34% of buyers in Q3, that's new to the industry or new to BRP?
José Boisjoli: Yes -- and just I will give you more colors because I know it's high interest for many investor and analysts, then here I give you some colors. The -- first, we don't have any number to compare to last year Q3 because we didn't do any survey last year, but we've done a survey this Q3 and here are the colors. We surveyed 2,400 participants in nine country. People who purchased vehicle in July, August, September and we surveyed them the first 20 days of October, quite new. And historically, we have about 20% new entrants in our industry and this time with this survey, it was 34%. Now, we're getting smarter, and we dig with more question, out of the 34%, 20% were new to powersport and totally new to the industry. And 14% was new to category that means someone who had a Watercraft and now decided to buy an ATV. That 34% new entrant, but 66% of experience customers. What is even more positive for us? Out of those 2,400 participants in the survey, 72% were new to BRP and 28% was BRP repurchase. Then we feel quite confident and that's a testimony of our ability to gain market share, we feel pretty encouraged with those numbers because we put a lot of emphasis on new entrant and many are wondering is new entrant will continue post-COVID? First, we have an indication that they will remain but the growth we had was also a lot because of very loyal experience customers and new to the brand. 
Operator: Thank you. Following question is from Jaime Katz from the Morningstar. Please go ahead. 
Jaime Katz: So I'm curious about Europe and what you guys are seeing from customer behavior there? Obviously, there was some constraints on the inventory levels, which acted as a drag on throughput. But are you seeing the same sort of demand as you are seeing in North America given that the economic environment is a little bit different there? Thanks.
Sebastien Martel: Well, if you recall our Q2 numbers, we had very strong demand in Europe. It was softer in Q1 because they were more confined in Q2, confinement measures were lessened in Europe and we saw demand picked up which obviously resulted in us being lean in yard inventory at the end of Q2. Demand continues to be strong. Snowmobile season is off to a good start in Scandinavia. And the outlook for the rest of the business for Q4 is strong as well. So we're not seeing any material differences between Europe and North American consumers. 
José Boisjoli: The only thing I’d add to Sebastien comments, snowmobile is -- it's an activity that is really off-road in very remote area. And we don't feel this will be as perfect for differentiation, and we don't see any slowdown there. 
Jaime Katz: Excellent. And then can you talk a little bit about how you are perceiving the new round of lockdowns in maybe Toronto and whether or not there are enough efforts to mitigate the impact, so such that it's not the same sort of magnitude as it was the last go around? Thanks.
José Boisjoli: But even in the first lockdown, many of dealer were able to operate a different way. And that's why I was saying in my remark that we've learned a lot in the first lockdown and many dealer were able to retail despite all this, being creative and doing more virtual. And what's happening in Toronto, for example, right now, it's not affecting our business. Business like us, our dealerships are still running. They have measure, obviously, that they need to respect, but no dealership had been stopped lately, I don't think even in Europe. 
Sebastien Martel : And we're seeing -- and as you can appreciate, in the spring, it was almost an economic lockdown where plants were being closed, and stores now we're seeing this year in the fourth quarter, so movie theaters, restaurants, but not as comprehensive as we saw in the spring.
Operator: Following question is from Derek Dley from Canaccord Genuity. Please go ahead.
Derek Dley : I just wanted to like -- given that you commented this already, a couple of loaded questions that were asked. I'll follow with one. Just given the demand increase that you've seen here. Is there any changes to your five year plan that you laid out about a year ago? I mean, could we get to that [$7.15] EPS a year early?
José Boisjoli: Let's say that it’s too early direct to restate the M25. When the situation will be a bit more stable, we will definitely restate it and present it to all of you. Listen, your question is the growth that we're having right now, in the M25, there was not that surge of new customers. There was not that cycle or that inventory that have been -- that is at a record low right now for all OEM. Then we believe there is opportunity, but it's too early to tell you about the $7 EPS sooner than M25.
Derek Dley : And then just in terms of what you're seeing in terms of promotional environment, like, is there any discounting at all happening right now? Or is it really just a case of as product hits the floor, it's kind of out the door?
José Boisjoli: Well, there's no -- there's a -- I mean, there's a bit of promotion. Obviously, we had some promotions for our spring units, which we announced back in the spring, so these are still in effect. And we always provide support to dealers for financing, et cetera. But obviously, as the units fly out the door, the amounts that we spend on either wholesale incentives or retail incentives is significantly lower than historical. So there's sometimes a bit, but again, as you saw the impact for the quarter was 200 basis points. So it's a material decrease versus prior years.
Operator: The following question is from Gerrick Johnson from BMO Capital Markets. Please go ahead.
Gerrick Johnson : Your operating expense down about 20%, we discussed some of the puts and takes here. But one big expense we haven't talked about was the annual club event, which did not occur from a physical standpoint. How much did that contribute to the quarter in terms of savings year-over-year?
Sebastien Martel: Well, it's, again, it's a material expense, but it's not $20 million, it's not $10 million. So it's -- obviously it had an impact. But club is less than $10 million. So you can do the math. And why expect expenses to remain low? Well, as I said, I expect Q4 to come back to where we were last year. And next year, obviously, we will not -- club events will probably be not to the same level that were historically. But obviously, we want to continue fueling the pipeline, we want to continue creating interest by dealers and consumers for our product. And so some of that money will be redirected to other marketing initiatives. 
Gerrick Johnson: Okay, well, I hope you keep the analyst and investor ride events intact. Moving on to other -- another question. These are two questions and one more art than science here. There have been two very big macro events. One is the U.S. election, and the other is the announcement of three vaccines that look highly effective. So we’ve got a light at the end of the tunnel there. Number one on the election. I mean, I'll call a state of state here, overwhelmingly Trump supporters here in the U.S. on the dealer side, how are they looking? How are they -- what's their outlook? How has that changed perhaps, if not at all? But if there is any change there? And number two, being that there are -- there is a light at the end of the tunnel here, how is that impacting your outlook for next year and beyond? 
José Boisjoli: On the U.S. election direct, mean within this business for a long time, and we've been able to work with both parties, and we don't see for us any impact. I mean, there will be some adjustment, but we are able to deal with any U.S. administration. And we don't think there is that much impact there.  On the vaccine, obviously, very happy that it’s happening. But before the vaccine will be distributed massively around the world, it will take some time. The other thing is, if you look at the leisure industry, that is airline, hotel, gambling, and you know more that than I do. All those industry, specialists like you are saying that it will take three years and more to recover, then we believe that maybe the surge that we had this summer will be bit reduced. But we have a pretty good runway in front of us. And again, that's why in my remarks this morning, I mentioned the momentum we had pre-COVID. And for us, we see this as an opportunity not as a threat. It's our job to make those new entrants lifetime customers. And to continue the momentum that we had, then there will be -- maybe the growth might reduce a bit for -- because of the surge of new customers. But at the end like I explained the max of our customer are existing customers. 
Gerrick Johnson: Yes, okay. And then those new customers you talked about, I think one thing a lot of people got wrong initially was just thinking that these new customers are kind of like your traditional new customers that you usually get over here. But I think they're much different this time, probably more professionals who are working from home and have some money and higher income of earners, but perhaps maybe less loyal to the lifestyle, the experience of the brand. So how do you think about those new customers and are you sort of modeling maybe less retention of those new customers or perhaps more? 
José Boisjoli: Well just to give you a sense, we’ve been able to attract new customer to SPARK. We introduced SPARK in 2014. And Sea-Doo pre-COVID, the Sea-Doo SPARK was -- over 50% of the sales was to new customers. And the Ryker last year, pre-COVID was 40% and this year was 50%. Then we use to deal with new customers with those product line, and we've learned how to make them lifetime customer. It won't be perfect, but again, instead to see this new customer surge as a threat, we see that as an opportunity. And we believe we are well tooled to continue the growth with them. 
Operator: The following question is from Cameron Doerksen from National Bank Financial. 
Cameron Doerksen: Let me -- just a couple of cash flow balance sheet questions from me. First just on the working capital. You’ve had a pretty positive trend so far in fiscal 2021. I am just wondering what it looks like Q4, I mean, should we expect here to be a big draw on working capital? I am just wondering how the year might end as far as that use of cash? 
Sebastien Martel: Yes, we are expecting to rebuild inventory in Q4 in the yard, so there's probably going to be use of cash related to working cap. Obviously, those yard inventory, we were able to rebuild at the end of Q3 the yard inventory in international but it's still low compared to where it was a year ago. So there's no more work to be done there and even in North America we could work with higher levels of inventory. So all-in-all, still a good capital generation for the full year, CapEx is also going to be high in the fourth quarter. So we should consume cash in the fourth quarter. 
Cameron Doerksen: Okay. And just on the payables, I mean, it was up quite a bit in Q3 sequentially. Are we kind of back to more normal level, I think it's been sort of artificially depressed first couple quarters of the year? 
Sebastien Martel: Yes, we are back to normal levels. We tend to trend that probably 90 days of working of AP and that's where we are at the end of Q3. 
Cameron Doerksen: Okay, great. And just on the -- I guess the cash position, I mean, you've got -- it remains very high, it’s a good position to be in I guess. But just wondering if you can update us on your ability to I guess pay down debt early? I mean I think there some limitations on what you can do. Maybe just update us on what the latest is there as far as -- it's probably not the best scenario to be sitting on $1.3 billion in cash? 
Sebastien Martel: Yes, obviously, we -- what we -- it's not the best scenario, but it's a very good position to be in, especially with the uncertainty that -- as already said the vaccine is on its way, but it'll take some time before everyone is immune. So we prefer being in this situation than being short on cash. As you saw, we've decided to reinstate our NCIB and the dividend as well. So obviously there’s going to be some cash that's going to be deployed towards those efforts.  In terms of debt reimbursement, short-term, it is not on the agenda. We -- as you all know, we raised an extra $600 million of debt back in May, there is a 2% penalty for early repayment that comes to expiration in May. So until May, our intention is not to look at debt potential debt reimbursements. 
Operator: The following question is from Benoit Poirier from Desjardins Capital Markets. Please go ahead.
Benoit Poirier : Just to come back on Gerrick question, could you talk about the new entrants, whether they are brand agnostic and maybe the potential to sell them more products when you compare with your current customers?
José Boisjoli: Yes, good morning, Benoit. For sure, right now the focus of the marketing team is when a new entrant is coming in, we try to expose them to other product lines. And that's why we advance the launch of the Uncharted Society where you can rent a snowmobile or Watercraft or an off-road vehicle in other area, just to expose them to the pleasure of riding a different experience. And this again, to follow on what I was saying to Gerrick a few minutes ago, for many investors, they are afraid that those new customer runaway and we see that as an opportunity. They came to our industry and now it's our job to attract and maintain them and expose them to other product lines. Then again, we see that as an opportunity. We like to be positive about going forward and working hard with the marketing team and the sales team to expose them to other product lines.
Benoit Poirier : Okay. And Sebastien when you talk about the better mix impact on margins, was it driving -- was it driven by a lack of low entry products or driven by customer preference toward your high end products?
Sebastien Martel: Well, obviously given the scarcity of the inventory and the high demand for products, we selectively produced units that we believe will bring the maximum profit to us and to the dealer. So our mix is more richer because we've made that decision to produce a higher mix, a richer mix the products driven by obviously the demand from the consumers.
Benoit Poirier : And given the greater visibility through the pandemic, so how does it impact BRP? Could you accelerate some product introduction when we think about project and project goals or maybe electric vehicles, it's something that could maybe accelerate furthermore?
Sebastien Martel: We -- as I shared with you, we did put a pause on certain projects when the COVID happened. Obviously, as we had greater visibility on the year and on next year, we turned the switch back on for these programs. And we'll continue producing the products and the innovations that we do on a yearly basis. But for now no significant change in plans. 
José Boisjoli: We believe that while we have plenty coming that to remain very competitive.
Benoit Poirier : Okay, perfect. And last one for me. When we look at capital deployment, 2 times seems to be the optimal level in terms of leverage. How should we be thinking right now, given the bigger growth opportunity, the pandemic, do you feel comfortable maybe to increase or maybe lower given the visibility we currently have? So what about the optimal level?
Sebastien Martel: In terms of -- are you talking about CapEx?
Benoit Poirier : In terms of net debt EBITDA, it terms of leverage ratio Sebastien?
Sebastien Martel: Okay, well -- when we IPOed, we were at 3 times leverage. We finished the quarter again below 2 times, significantly below 2 times. And we're comfortable as we said in the past operating at 2 times leverage. So it will be part of discussions that we're having with the Board. But as I said today, we prefer sitting on a bit more cash and see how things are going to turn out. We are lucky we're in a good position. Having that cash flexibility is a huge plus flexibility is a huge plus in these uncertain times.
Operator: Thank you. Our next question is from Greg Badishkanian from Wolfe Research. Please go ahead.
Fred Wightman: Hey guys. It's actually Fred Whiteman on for Greg. Just quickly on snowmobiles. Retail was up low 20s in the quarter. I think on last quarter's call, you had talked about the early retail signs were up 70% plus. So, can you just talk about what changed and how that fits into your decision to extend the snowmobile production period?
José Boisjoli: Good morning. What happened -- again, you need to be careful at the beginning of a season because numbers sometime are small. And increased numbers, ratio can be very high. But right now we are extremely happy with the snowmobile momentum. And you just need to remind that this year, at this time of the year, we had shipped more units last year than this year. And we're hearing dealers right now, when they receive a unit, they PDI and deliver it to the customer, then it's in and out. Then we expect the momentum will continue at a good pace till Christmas, and we're hearing that some dealer will be out of product by Christmas, then we feel very comfortable with the snowmobile business.
Operator: Thank you. We have no further questions registered at this time. I'd now like to turn the meeting back over to Mr. Deschênes.
Philippe Deschênes: Great, thanks, Mone, and thanks everyone for joining us this morning and for your interest in BRP. I want to take the opportunity to wish you all happy and safe holiday season, and we look forward to speaking with you again for our fourth quarter earnings call in March. Thanks again, everyone, and have a good day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.